Operator: Good morning. My name is Krista, and I would like to welcome everyone to the JetBlue Airways Corporation Fourth Quarter 2025 Earnings Conference Call. As a reminder, today's call is being recorded. I would now like to turn the call over to JetBlue's Director of Investor Relations, Koosh Patel. Please go ahead, sir.
Koosh Patel: Good morning, everyone, and thanks for joining us for our fourth quarter 2025 earnings call. This morning, we issued our earnings release and a presentation that we will reference during this call. All of those documents are available on our website at investor.jetblue.com and on the SEC's website at www.sec.gov. In New York, to discuss our results are Joanna Geraghty, our Chief Executive Officer, Martin St. George, our President, and Ursula Hurley, our Chief Financial Officer. Today's call, we will make forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements include, without limitation, statements regarding our first quarter full-year 2026 financial outlook, and future results of operations and financial position including long-term financial targets. Industry and market trends, expectations with respect to tailwinds and headwinds, our ability to achieve operational potential targets, our business strategy for future operations, and the associated impacts on our business. All such forward-looking statements are subject to risks and uncertainties, and actual results may differ materially from those expressed or implied in these statements. Please refer to our most recent earnings release as well as the 2024 10-Ks and other filings for a more detailed discussion of the risks and uncertainties that could cause actual results to differ. The statements made during this call are made only as of the date of this call. Other than as may be required by law, we undertake no obligation to update this information. Investors should not place undue reliance on these statements. Also, during the course of this call, we may discuss certain non-GAAP financial measures. And now I'd like to turn the call over to Joanna Geraghty, our JetBlue CEO.
Joanna Geraghty: Good morning, and thank you for joining JetBlue Airways Corporation's fourth quarter and full year 2025 earnings call. I want to thank our crew members for their continued dedication to running a safe operation, especially during Winter Storm Fern. We've canceled over 1,100 flights as a result of the storm, and the industry remains in recovery mode. While today's forward-looking guidance excludes the storm's impact, given January is typically a trough period for us, we do not currently expect the impact to be material to achieving our full-year earnings guidance. Before we get to 2026, let's take a look back at 2025. In the first full calendar year of our Jet Forward transformation, I am very proud of what we've accomplished. In the face of a government shutdown, macro uncertainty, and aircraft-related groundings disproportionately impacting JetBlue, we stayed focused and continued to work toward our goals. Operational performance has been a key proof point of our strategic transformation. In 2025, we beat all of our on-time performance targets, improved every one of these metrics versus the prior year, and narrowed the gap relative to others. What makes this even more significant is that it follows an equally strong 2024, when we also beat all of our on-time performance targets. Two consecutive years of reliability improvements are a direct result of Jet Forward investments, smarter planning, disciplined execution, and our team's daily focus on doing the basics well, all in the most challenging airspace in the world. Our customers are recognizing these meaningful reliability improvements. I want to emphasize this. In 2025, we achieved an eight-point gain in Net Promoter Score and a 17-point gain since the beginning of 2024 and the launch of Jet Forward, making us once again a leader in customer satisfaction. This improved experience is driving loyalty and, in turn, has increased the rate at which customers return to fly JetBlue. The progress we've made on delivering reliable and caring service not only increases customer satisfaction, it also sets a solid foundation to enable the success of our other priority moves. Our products and perks are increasingly capturing more premium revenue, following the enhancement of Even More and the continued outperformance of preferred seating, the release of our premium credit card, which far exceeded sign-up targets last year, and the opening of our first-ever lounge at JFK. And not to forget, we won the J.D. Power Award for the Best Business Class Product last year. Network changes continued to progress well, even as we capitalized on near-term strategic opportunities in Fort Lauderdale, where customer response to our close-in schedule additions has greatly exceeded our expectations. Underlying it all, we maintained a tight hold on costs in the face of meaningful capacity reductions. Taken together, these Jet Forward initiatives delivered $305 million of incremental EBIT, slightly better than our initial expectations. This outcome gives me great confidence that Jet Forward continues to be the right plan. Macro uncertainty pressured industry demand last year and impacted results versus our initial full-year operating margin guidance of 2% to 1%. As previously shared, we estimate this uncertainty represented more than four points of headwind to operating margin for the year, impeding our path to restoring operating profitability in 2025 and resulting in an adjusted operating margin of negative 3.7%. Looking ahead to 2026, we are focused on turning the progress from our Jet Forward initiative into improved profitability. At a high level, our full-year guidance is based upon 3.5 points of capacity growth, 3.5 points of unit revenue improvement, and 2% non-fuel unit cost growth, all contributing to our forecast of breakeven operating margin or better. Our guidance assumes the macro environment continues to provide a constructive baseline for demand. Any incremental recovery in GDP or reduction in fuel prices beyond consensus estimates represents potential upside as 2026 progresses. Critically, we expect to deliver $310 million of incremental EBIT from Jet Forward this year for a total of $615 million in 2026. This keeps us on track to deliver $850 million to $950 million of total incremental EBIT for the full year 2027. The incremental EBIT growth in 2026 is driven by the continued ramp of our existing initiatives and the launch of several exciting new initiatives, including rolling out the remaining key components of our Blue Sky collaboration with United, the opening of our Boston lounge, and the launch of our domestic first-class product. Though it has already been a dynamic start to the year, with the temporary closure of a portion of Caribbean airspace and Winter Storm Fern, our focus remains on controlling what we can and translating these efforts into several points of operating margin improvement in 2026. With that, I will turn it over to Marty.
Martin St. George: Thank you, Joanna. And once again, a sincere thank you to our crew members who stepped up to keep our operation running safely throughout 2025 and into 2026. Turning to slide seven of the presentation. Fourth quarter year-over-year unit revenue finished up 0.2%, over two points better than our guidance midpoint, nearly three points better than our third-quarter performance. The majority of our RASM beat was driven by underlying demand strength, coupled with loyalty, ancillaries, and other revenue exceeding expectations. Importantly, those trends have carried forward into early first-quarter bookings. We've seen a healthy recovery in domestic performance, with year-over-year RASM for the fourth quarter better than that of international flying. The booking curve further normalized throughout the quarter, with strong close-in booking performance for holiday travel that was more in line with historic levels. And as we've discussed throughout the year, the fourth quarter continued to show strong peak period performance, while off-peak demand remained more pressured. Our positive RASM was propelled by premium growth, with premium RASM outperforming core RASM by 13 points in the quarter, reinforcing the strategic importance of our investments in Mint, Even More, loyalty lounges, and coming later this year, domestic first. To complement this addition, we are also refreshing our award-winning Mint cabins in-flight food menu later this year. We have over a decade of experience serving the premium customer, and we are excited to continue refining the premium experience, whether in Mint, Blue House, or domestic first class. We are also proud of the improvements we have made to our core with changes to our Blue Basic fare, improvements in reliability and hospitality. We continue to make refinements across the cabin to make sure that all customers have a reason to return to JetBlue. Additionally, the improvements we've made to our operation and customer experience through Jet Forward have translated into even stronger brand loyalty. And we capitalized on that in 2025. Loyalty revenue grew by 8% for the full year, in a year when capacity was down 1.6%, and now accounts for over 13% of total revenue, up from 11% in 2023. The introduction of our Blue Sky collaboration with United has made TrueBlue even more relevant across new geographies, and combined with our loyalty program's leading customer satisfaction, gives us confidence in continued outsized loyalty and premium growth. Brand performance accelerated throughout the year, with double-digit spend growth and over 30% growth in new co-brand account acquisitions in the fourth quarter. Our first lounge, called Blue House, is generating great reviews. Since opening, we've seen lounge NPS in the mid-eighties, alongside a meaningful increase in the acquisition rate of our premium co-branded credit card. Turning to the network. In the fourth quarter, we added significant close-in capacity to our Fort Lauderdale focus city. The ramp of this strategic expansion, where we've announced over 20 new nonstop destinations plus increased frequency on a dozen others, is materializing faster than our initial expectations. While we initially expected a one-point RASM headwind in the fourth quarter, the resulting impact was closer to 0.5 points, reflecting customers' strong response to our scheduled additions and preference for our award-winning customer experience. Fort Lauderdale represents a strong premium leisure market as both an origin and destination. We are now offering up to 26 daily Mint flights touching Fort Lauderdale this winter, offering more domestic first-class seats than any other carrier in Florida. In addition, Fort Lauderdale is set strategically between a strong foothold in the Northeast and a robust Latin and Caribbean network, making it a well-placed connection gateway for customers, with significant upside potential for JetBlue. With our far better customer experience and competitive low fares, and now more destinations, we are pleased to bring even more value and choice to customers in Fort Lauderdale and across South Florida. These initiatives and more contributed to our Jet Forward performance in 2025. Jet Forward delivered a total of $305 million of incremental EBIT last year. On Slide eight of our earnings presentation, we've broken down each priority move and the key initiatives that delivered value in 2025. We're capitalizing on this progress and more in 2026. It will be a big year for Blue Sky, as we expect to roll out the remaining key features of this collaboration with United throughout the year. We expect to activate cross-selling interline flights on each other's websites very soon. This will be followed by mutual elite customer loyalty benefits turning on as the year progresses. Through the second quarter, we expect to begin selling United non-air ancillaries through our Paisley subsidiary. We plan to launch with car rentals, followed by hotels, cruises, vacation packages, and travel insurance, with the expectation to be selling all ancillary products by the end of the year. Lastly, turning to guidance. For the first quarter, we expect capacity to be up 0.5% to 3.5% year-over-year, with unit revenue growth in the range of flat to up 4%, supported by demand momentum exiting the fourth quarter and a constructive competitive capacity backdrop. We estimate the closure of Caribbean airspace in early January, and some lingering demand impact will be a headwind to RASM of less than a point for the quarter, which is incorporated in our guidance. As Joanna mentioned, not incorporated in our formal guidance are the recent impacts of Winter Storm Fern. For the full year, we plan to deliver unit revenue growth of 2% to 5% on capacity growth of 2.5% to 4.5%, contributing to breakeven operating profitability or better. We expect positive year-over-year RASM growth in each quarter in 2026, but more weighted towards the second half of the year as initiatives ramp. Our RASM guidance is dependent on four key drivers, highlighted on Slide 10 of our presentation. These drivers are part of Jet Forward and largely within our control, which gives me confidence in our ability to execute. The largest driver is loyalty, driving about one point of year-over-year RASM. We expect to grow loyalty revenue as a percentage of total revenue by about one point to 14%, driven by added redemption options and the opening of lounges. Next, our product enhancements, which are expected to contribute three-quarters of a point of RASM. These enhancements help to drive yield and improve load factor as our offering evolves. Additionally, Blue Sky and Paisley are expected to drive another three-quarters of a point, and we believe the maturing of our network changes and improving customer satisfaction will contribute the remaining half a point to get to a full-year RASM midpoint of up 3.5%. Ultimately, we expect the combination of these drivers and over 200 underlying Jet Forward initiatives to result in a more competitive customer value proposition, translating to RASM growth exceeding CASM growth this year and supporting our path back to sustained profitability. While the environment remains dynamic, the progress we've made through Jet Forward gives us confidence we are positioned to deliver on our commitments in 2026. I will now turn it over to Ursula.
Ursula Hurley: Thank you, Marty. I want to reiterate what Joanna has said about 2025. I am very proud of our team for controlling what we could amidst a dynamic environment to deliver on our full-year cost outlook and build a strong foundation for what's next. We adjusted our business to navigate a challenging macro environment. We proactively reduced capacity by two points over the year as demand softened. We identified cost savings above and beyond our initial budget, and most importantly, we progressed on Jet Forward and delivered $305 million of incremental EBIT in the face of all these challenges. Turning to Slide 12. The fourth quarter was marked by a high volume of unforeseen external events. Despite this, the team did an excellent job recovering from each event and moving forward under difficult circumstances. For the quarter, CASM ex-fuel was up 6.7%. Disruptions from the government shutdown, the Airbus airworthiness directive, and two major weather events added costs, reduced capacity by nearly two points, and drove the gap to our initial CASM ex-fuel guidance. Fuel price was also a headwind in the quarter, with crack spreads rising sharply in late October and later moderating in conjunction with Brent, resulting in a fuel price of $2.51 versus our mid-expectation of $2.40. For the full year, CASM ex-fuel finished up 6.2%. Given full-year capacity was reduced by nearly two points versus our initial expectations, I am especially proud of the team for managing costs within our initial range of up 5% to 7%. And in our first official year of Jet Forward, we achieved substantial cost savings driven by initiatives like improved tooling and utilization of AI to optimize planning, better manage disruptions, and enable greater self-service. On the support center side, we strengthened efficiencies in our fixed costs. We also began modernizing fuel processes, unlocking cost savings through technology, process, and operation initiatives. Shifting to 2026, we expect full-year CASM ex-fuel growth of 1% to 3% driven by several factors. We averaged nine aircraft on ground from GTF-related issues in 2025, and we expect that number to be in the mid-single digits in 2026. New deliveries will also drive capacity growth this year and provide tailwinds to labor productivity and fixed costs. Additionally, we are seeing benefits from fleet simplification efforts as we are now down to two fleet types. These benefits will be offset by higher rents and landing fees, investments in our customer experience, and the impact of tariffs. CASM ex-fuel in the first quarter is expected to grow the most of any quarter in the range of 3.5% to 5.5%, largely due to elevated maintenance expense. CASM ex-fuel growth is expected to moderate downward over the year and especially in the second half when we expect roughly flat year-over-year CASM ex-fuel as Jet Forward cost savings and initiatives ramp up and year-over-year capacity grows. We estimate fuel price to be at the midpoint of our ranges, $2.34 for the first quarter and $2.27 for the full year. Encouragingly, fuel efficiency remains a tailwind this year. ASMs per gallon are expected to improve by approximately 1.5% in 2026, contributing to an approximately 5% total improvement over the last three years, driven by the retirement of the E190 fleet and substantial fuel savings initiatives as part of Jet Forward. For reference, 5% of our annual fuel cost equates to $100 million of savings in 2026. Powered by an improving macro backdrop and $310 million of incremental Jet Forward EBIT, we expect RASM growth of 2% to 5% and CASM ex-fuel growth of 1% to 3% will drive breakeven or better operating profitability this year. Turning to capital allocation and our financial priorities. On slide 13. In 2025, we invested $1.1 billion in capital expenditures, primarily consisting of 20 aircraft deliveries. For 2026, we expect capital expenditures of approximately $900 million, driven by 14 aircraft deliveries and the start of domestic first-class retrofits. Since the start of Jet Forward, we've worked to secure our financial future by cutting in half our planned 2026 through 2029 capital spending from $6 billion to $3 billion. As a result of these efforts, CapEx is expected to remain below $1 billion annually through the end of the decade, enabling low to mid-single-digit annual capacity growth while also accelerating our return to positive free cash flow. We ended the year with $2.5 billion of liquidity, excluding our undrawn $600 million revolving credit facility. This year, we expect to repay approximately $800 million of debt throughout the year, including $325 million outstanding on our 2021 convertible notes, which mature this April. To address cash needs, we intend to raise approximately $500 million in new financing, supported by roughly $6.5 billion of unencumbered assets. We are focused on aircraft-backed financing and are evaluating all available markets as we prioritize securing low-cost capital. For the year, we expect gross interest expense of approximately $580 million. We know there is still much work to do on our balance sheet, but I am encouraged by steps in the right direction. Gross debt peaked last year, and in 2026, we expect our leverage profile, measured by net debt to EBITDA, to begin to improve and benefit from Jet Forward's substantial growth in our EBITDA and help us reach our goal of restoring full-year operating profitability. As we look ahead, our priorities remain the same: getting back to sustained operating profitability, followed by generating positive free cash flow and restoring the health of our balance sheet. We believe there is a path to generating free cash flow by 2027. In closing, while 2025 brought unexpected challenges, it also marked a year of meaningful progress that strengthened JetBlue's foundation and reinforced our confidence that Jet Forward is working. We enter 2026 focused, energized, and committed to returning to breakeven profitability or better. The macro backdrop is improving, we're excited to be growing again, our operation is performing at a level we haven't seen in years, and our commercial initiatives continue to ramp with new initiatives rolling out. From Blue Sky to the launch of domestic first class and the opening of our second lounge in my hometown of Boston. At the same time, we are returning to disciplined low single-digit cost growth. With these elements coming together, we believe we are well-positioned to restore profitability, and I am eager for what comes next for JetBlue. With that, Krista will open the call for questions.
Operator: Thank you. We will now begin the question and answer session. Star one. We also ask that you limit yourself to one question and one follow-up. For any additional questions, please re-queue. And your first question comes from Dan McKenzie with Seaport Global. Please go ahead.
Daniel McKenzie: Oh, hey. Thanks for the time, you guys. So premium is clearly outperforming leisure today. So my first question really starts there. And, you know, that is that premium seats today, I guess, are 25% of the total flying. But I'm wondering what percent of revenue they comprise and what you would expect that to be when you exit 2027. So I'm thinking it's probably 30% plus today, and the question becomes, could it be over, you know, could premium revenue be, you know, over 40% of revenue in 2027?
Martin St. George: Hey. I'll take that, Dan. Thanks for the question. So we generally have not released that number, and I think as premium becomes a bigger and bigger part, we'll figure out how we want to manage that in the future. The one thing I do want to stress is that with the introduction of the domestic first-class product later on this year, the total percentage of premium seats is not going up dramatically. That product is basically being funded from a reduction in the Even More cabin. However, the quality of the seats actually goes way up, as does the yield. So it is absolutely accretive. The benefit of the domestic first class is clearly in the products and perks initiative under Jet Forward. And we're really excited about the continued momentum we've seen for premium products. You know, whether it's lounges, Mint, Even More. You know, we have a really great track record as far as being able to deliver premium products for our customers. Our customers love them, and we are really excited to use first class later this year domestically.
Daniel McKenzie: Mhmm. Yep. Yeah. Second question here just ties to leisure revenue and the, you know, recovery glide path that the current guide embeds. And, I'm thinking leisure fares so far this month are, you know, largely flat year over year, and I'm just wondering if that full-year guide embeds sort of the flattish revenue, you know, leisure component or what that recovery, the shape of that recovery could look like.
Martin St. George: So it's a great question. And I will start with the line I use pretty much every call. It's just regard what we see. And the trajectory of 2026 unit revenue is fundamentally based on fourth-quarter performance and first-quarter bookings. So, you know, you'll hear us use a word today that we generally haven't used in well over a year, which is strong. Bookings are strong right now. And I think what I'm especially excited about is, you know, we've seen a nice recovery of leisure customers. And, frankly, I cannot talk enough about how pleasantly surprised we've been with the speed of the adoption of our new capacity in Fort Lauderdale. That's been a very nice contributor. But overall, when you look at our operational improvements, you look at the improvements in the loyalty program, the resulting increase in NPS. I think we sort of have a flywheel of goodness going on right now. That's resulting in great unit revenue. There are no big assumptions of, you know, a GDP snapback quickly. You know, a significant change in the competitive ASMs. Basically, we're sort of forecasting based on what we see right now.
Daniel McKenzie: Yep. Thanks for the time, you guys.
Operator: Your next question comes from the line of Duane Pfennigwerth with Evercore Partners. Please go ahead.
Duane Pfennigwerth: Hey. Thank you. Good morning. Marty, that word demand strength, which you haven't used in a while, what is different about the trends that you're seeing now? Maybe you could speak to changes in the booking curve. And then for my follow-up, which I'll state right up front, you know, to what extent is competitive capacity in the first half, you know, contributing to that?
Martin St. George: Hey, Duane. So let me start with a little more color around what we mean by the word strong. I think that the thing that has been most interesting to us is the recovery in the domestic coach market. You know, I made a comment in the remarks about how domestic and international performance has been converging, which I think we're very optimistic about. I'll also say that the booking curve looks very normal. I think if you go back to 2025, what you would have heard us say in calls was the bookings are coming. They're coming very close in. And there was a little bit of apprehension of, you know, you're sort of sitting here with bated breath waiting to make sure the bookings actually came. That's really not what we're seeing now. We're seeing a very normal booking curve. With the exception of The Caribbean, for the first couple weeks of January where we did see a bit of a drop. Which, by the way, we're back to positive year-over-year in The Caribbean. So that was a blip that's been temporal and much better now. It just looks like a normal demand year, which I'm very, very optimistic about. With respect to competitive capacity, yes. And we're in a relatively good competitive capacity environment right now. We have had our biggest competitor in Fort Lauderdale pull down dramatically. We have not made any assumptions about any further pull downs or any significant change in competitive capacity. I will say that the first quarter is very, very clear as far as what's out there right now. I think the second quarter still has some time to settle down. You know, we're still selling more in the second quarter than we're probably gonna fly. But that's generally what you've seen in the time periods when you've got strong peaks and weak troughs where it appears that there's a sort of a big net strategy, and then you winnow it down a little bit closer in. But there is no, I want to make it really clear in this call, there is no magic hat with a rabbit in it of some sort of a big surprise that's gonna make these numbers. This is just execution of the Jet Forward plan on top of the existing strength in industry revenue right now. That's one of the reasons we're so optimistic about 2026.
Duane Pfennigwerth: Thank you.
Operator: Your next question comes from the line of Savanthi Syth with Raymond James. Please go ahead.
Savanthi Syth: Hey. Good morning. I was wondering, Marty, just to follow-up on Fort Lauderdale. Could you talk about just, you know, how Fort Lauderdale might be changing kind of the current strategy other than just getting bigger? Like, are the connections going to be bigger as a result in terms of total system? Just how should we think about Fort Lauderdale, you know, once this is kind of fully baked in versus kind of the strategy and setup, you know, two, three years ago?
Martin St. George: Thanks, Savanthi. First thing I'll say is I think we should acknowledge Fort Lauderdale is our very first destination. The original JetBlue flight flew from JFK to Fort Lauderdale. We haven't felt that. The history of JetBlue and Fort Lauderdale is as long as the history of JetBlue. And we've had a lot of in Fort Lauderdale over the years. I think you go back ten years or so when we announced publicly this concept we called one forty, which was growing Fort Lauderdale to about 140 flights a day. Had trouble executing that mostly because of gate resources in the airport. It is a relatively constrained airport, especially constrained for international gates. And you look at the opportunities to grow, you know, we have a pretty solid slate of destinations north of Fort Lauderdale. Our challenges are really to, you know, Caribbean, Central, and South America. And for that reason, the lack of international gates has been a problem for us. I'd say with the pull downs that we've seen from Spirit in Fort Lauderdale, gate resources have become available. And, you know, we've wanted this for many, many years. So when the opportunity came up, we jumped on it very, very quickly to make sure that we could backfill. Because this is an aspiration we've had for a long time. And I would say that, you know, starting with crew members and also investors, you know, we have continually gotten this feedback of you need to diversify beyond the Northeast. And, you know, I think if you're looking for diversification beyond the Northeast, this is it. I mean, Fort Lauderdale is a great premium market. South Florida, great premium market, the best premium in Florida. And, obviously, we have a very premium-heavy strategy going forward. Number two, geographically, it is a perfect location between north and south. So I think given the franchise that we already have in South Florida, the opportunity to grow there, we're really bullish on Fort Lauderdale. Specifically, yes, we have more of a bank structure in Fort Lauderdale than we have historically for connectivity. And as gates become available, we'll continue to enhance that. And in fact, you know, we are currently in the process of expanding our banking plans there. We don't really want to become a legacy hub and spoke airline, so it's not going to that extent. But the extent to which we can create casual connections at good departure times in Fort Lauderdale, we will to take advantage of it. And so far, it's performed very well from a tech perspective. I think for those customers who have connected in Miami versus connecting in Fort Lauderdale, I think I know which one everybody would pick. And it seems like customers are picking it. And Fort Lauderdale has done very well for that.
Savanthi Syth: That's helpful. If I might just quickly follow-up for Ursula. Just on the $500 million that you plan to raise this year, is that reflected in the interest expense guide? Is that or is that kind of potentially an increase to the interest expense assumption?
Ursula Hurley: Good morning, Savanthi. Yes. The interest expense is included in the $580 million guide. I will note the $500 million that we're anticipating raising will probably be in dual tranches. So there could be a portion of that raise which happens early in the year to support the convertible debt paydown that is due in April, and then the second tranche of the financing most likely will happen in the back half of the year.
Savanthi Syth: That's helpful. Thank you.
Operator: Your next question comes from the line of Thomas Fitzgerald with TD Cowen. Please go ahead.
Thomas Fitzgerald: Hey, everyone. Thanks very much for the time. It's good to see that the premium credit card sign-ups are exceeding your expectations. I was wondering if that's primarily in the New York area, just given the lounge, or if you're seeing that throughout the network or in new geographies or any details you'd want to expand on there?
Martin St. George: It's really throughout the system, and I think it's because the premium credit card itself actually has a great value proposition. And, frankly, a lot of our customers touch New York. So even if you don't live in New York, it's generally an important destination. And I think when we get New York and Boston both up, we're really bullish about the premium credit card. It also has a lower annual fee than other airlines' and banks' premium credit cards. And I sort of mentioned this in the script, and put this in a release, but didn't put it in the script. Our friends at Bain who do, like, industry-level NPS scores, have now given us permission. We can say that TrueBlue has the highest NPS of any loyalty program of any airline in the US. So I think, again, back to the concept of the flywheel, success sort of breeds success. So we're very excited with the card. You know, our partnership with Barclays is absolutely fantastic. And I'm really optimistic about the launch as a contributor. We are, and back to Savanthi's point about Fort Lauderdale, we are exploring whether we can make a lounge in Fort Lauderdale work. It's a pretty constrained airport, so we're not as sure that we have space for it. But if we can make it work and provide a great customer experience, it's certainly something we'll be talking about later in 2026.
Ursula Hurley: I'll just add on Marty's comment regarding Barclays. I think what's unique about our program is we're not competing with a bank's proprietary card. This is a fully dedicated Barclays card for JetBlue. And so when you think about the depth of the relationship, and, you know, two entities really rowing in the same direction, that's very much what you see with the JetBlue card.
Thomas Fitzgerald: Okay. Great. That's really helpful. Thank you for that. And then just as a follow-up on Blue Sky, I was just kind of curious, do you see upside potential to that 75 points of RASM expansion? And then just within the various buckets, do you see the wider funnel from being on their distribution website driving a lot of the gains? Or do you see it kind of split evenly? Or Paisley? Just wondering if you could kind of break out the different drivers within Blue Sky and Paisley. Thanks again for the time.
Martin St. George: Thanks, Tom. Honestly, all those things are important. We obviously, Paisley is very, very important. What we love the most about the Paisley upside is that first, you know, we have really built a better mousetrap with the Paisley platform. And especially important for us is that Paisley is an extremely capital-light way to grow earnings. You know, the only capital there is based on IT capital, and it's de minimis compared to our overall capital expenditure. With respect to the other substantial Paisley, I do fundamentally believe that the benefit, excuse me, to Blue Sky, I do fundamentally believe that the benefits of Blue Sky are focused in TrueBlue. As you look at the TrueBlue program, the ability to compete with the big three legacy airlines, the biggest challenge we have is that we do not have a full roster of worldwide destinations to earn and burn. And through this partnership with United, we finally plugged that hole. And I think the utility with TrueBlue points has skyrocketed in the last six months with the addition of this program. We're also relatively early along in the game, so I think it's, yeah. We'll see how that works with customers, but I love the value proposition of TrueBlue, and I very much appreciate this relationship with United to make this possible. I do also believe that the mutual distribution is gonna be important. You know, I think about places where we offer services, United doesn't. You know, JFK to the West Coast, you know, even when they do eventually enter JFK, I'm not sure where they're gonna go, but, you know, sometime in '27, they'll be in. Today, if you want to earn MileagePlus points from anywhere in New York to the West from, you know, this side of Hudson to the West Coast, we're really the only option. I love having those flights on united.com. And, you know, even though United may not have the same direct penetration that JetBlue does, it is a significantly big airline. We don't really know the traffic to their website other than what we can pull publicly, but I love the thought of all the JetBlue flights getting the eyeballs of all these United customers going to united.com all the time. And, frankly, will remind you, you know, we have a very high NPS. So I think when United customers get to fly JetBlue, the reaction is gonna be, hey. This is great. Have a great customer experience, and I can also earn my MileagePlus points. So we're really excited about that as well.
Operator: Your next question comes from the line of Michael Linenberg with Deutsche Bank. Please go ahead.
Michael Linenberg: Yeah. Hey. Good morning. Just two here. Ursula, just you called out the $6.5 billion of unencumbered assets. And I just, that seems a little bit higher than maybe what you shared in the past. I thought it was more like $5 billion, and so maybe it reflects some debt paydown or maybe, you know, you reappraised, I don't know, a pool of spare engines. Did that, has that changed at all?
Ursula Hurley: It did. Good catch, Mike. So the previous number that we publicly quoted was $5 billion. As we were assessing our liquidity needs for 2026, we did go through and update all of our appraisals on the unencumbered assets. So as a reminder, we purchased our aircraft deliveries last year with cash. So those were added into the pool. In addition to that, there's still incremental value on our loyalty program as well. Those were really the two main drivers of the increase. As a reminder, as we look at the unencumbered asset base, the breakdown is about 30% of their aircraft and engines. About 20% of it is loyalty, and then, obviously, the remainder is slots, gates, and routes and our brand. So, yeah, we're really pleased to continue to have this cushion. And the cushion is really a healthy culmination of assets.
Michael Linenberg: Great. Thanks for that clarification. And then just, Marty, you talked about the LOPA changes with the rollout of First Class. When actually do you start selling that first First Class seat, and how long is that rollout gonna take before you get to all of your domestic flights with First Class? Thank you.
Martin St. George: So hey, Mike. We're expecting the first airplane to roll out in the third quarter, and we're right now in the middle of certification, so we're not ready to pin the date down yet as far as when that will be. And the implementation is actually relatively quick. We'll have, you know, 20-something percent of the fleet done by the end of this year. The overwhelming majority of it will be done by '27, but not all of it, the rest comes in at '28. And the benefits, you know, it's obviously an important part of the products and perks initiative in Jet Forward. It will not be fully ramped by the end of Jet Forward. They'll be continuing to ramp in 2028. So we're really excited about it. And we'll be making more specific announcements later on this year.
Michael Linenberg: Okay. Did you say 20% or 27% by year-end?
Martin St. George: 20%.
Michael Linenberg: Great. Thanks for taking my questions.
Operator: Your next question comes from the line of Catherine O'Brien with Goldman Sachs. Please go ahead.
Catherine O'Brien: Hey. Good morning, everyone. Thanks for the time. So, Marty, you know, you talked about the Fort Lauderdale capacities driving by the expected, less of a drag to the fourth quarter. Would you say that's more a function of improving overall demand? Did you see faster than expected share shift? You know, was the competitive response better than you expected? Just, you know, can you talk about how Fort Lauderdale is performing, you know, versus the system? And then higher level, like, as you're thinking about this additional capacity in the Mint ads, how do you expect that to impact the medium-term hub profitability versus system profitability in Fort Lauderdale?
Martin St. George: Thanks, Katie. I'll say two things. First of all, we have multiple databases that help us measure share shift. The one that is the most close in, Spirit actually does not participate in. So right now, I cannot tell you if the fourth-quarter upside has been share shift or has been simulation. But when we get the DOT data, which should be coming in the next, you know, several weeks, I think we'll have a better answer for that. So I don't want to get ahead of my skis here because I don't actually have the real data. I do know that we're certainly carrying a lot more customers than we expected at higher yields than we expected. So whether it came from Spirit or from people coming off their couches, I'm happy to have it either way. With respect to profitability, we do expect Fort Lauderdale to be accretive to our overall system profitability. And frankly, I feel like with the change of the competitive environment down there, and also, you know, the ability to compete with, you know, a tough customer experience in Miami with one of our competitors. Just, you know, Fort Lauderdale is a very easy airport, it's simply located in the region. You know, we would not be doing this if we did not think that Fort Lauderdale would be a significant upside contributor to the system. Obviously, we could put airplanes anywhere. We're specifically choosing to put them in Fort Lauderdale for a reason.
Catherine O'Brien: Got it. Makes sense. Maybe Ursula, one for you. You mentioned you're thinking this year's financing needs will be about $500 million. How sensitive is that to your 2026 profitability outlook? I realize you're guiding to breakeven plus, not a range. But does it look different at breakeven versus above breakeven? And how does the E190 and XLR asset sales help offset fund raise requirements this year, if at all? Thanks again for the time, guys.
Ursula Hurley: Yeah. Good morning, Katie. Thanks for the questions. So the first one is we're targeting what the need to be anywhere between 17% to 20% of trailing twelve months revenue. So, obviously, that excludes our revolver as well. So there's a little bit of buffer there. Just in regards to, you know, the operating performance of the business. So, you know, I will say, you know, I feel really confident based on what we know today in the team's ability to deliver on the breakeven or better operating margin. And so as we head into rates, look for the date, you know, like I said, we'll target that 17% to 20% range. We'll pivot if we have to. Obviously, we have the very healthy unencumbered asset base to choose from if we do need more liquidity. I'm pleased that I believe that we've hit peak debt levels last year, so I'm really leaning hard into the EBITDA growth driven by Jet Forward to help improve the leverage metrics. And then in regards to your cost question on fleet, last year, we had a meaningful amount of fleet transactions, the most impactful being the sale of the E190 in January. We also took advantage of some market opportunities in regards to engine sale leasebacks. As we look at 2026, we do have about a half a point of controllable cost benefit baked into the full-year guide. That's really driven by the remaining sales of the E190. So we have about eight aircraft that we will be selling in the first half of this year. And we'll continue to monitor, you know, the markets as well in terms of sale leaseback opportunities. Hope that answers your question.
Catherine O'Brien: Thanks so much.
Operator: Your next question comes from the line of Jamie Baker with JPMorgan. Please go ahead.
Jamie Baker: Oh, hey. Afternoon. So, Marty, I wanted to go back to the question you were answering before. Savanthi's question, you mentioned the rabbit. Can I just confirm there are no specific assumptions in your full-year guide as to what potentially happens with any of your competitors might be facing, shall we say, a precarious situation at the moment? Is that a correct interpretation?
Martin St. George: Yeah. And let me give you a little more clarity on that, Jamie. There has been capacity added by some other airlines to Fort Lauderdale with the reduction of Spirit ASMs. Those ASMs are there, and they're not going away. So that growth is still there. We're not assuming that that was temporal. We're also not assuming that Spirit goes to any significant shrink versus where they are right now. I mean, our view is, okay, we want to make sure that as we give a guide, there's no sort of little secret upside in there. I mean, we've been trying to guide this thing very straight for the last two years. And we're not gonna change now. I mean, obviously, the rumors are out there. You know, I think that, you know, there's certainly probably more rumors than they have airplanes. But I don't think there's any upside for us to try to make any assumptions on that.
Ursula Hurley: But I will say, Jamie, we do have multiple plans in place depending on the outcome of Spirit. So, you know, we're ready for a number of scenarios to ensure that customers are protected and that we bring the JetBlue product and the offering to more folks in South Florida and beyond.
Jamie Baker: Excellent. I appreciate that clarification, both of you. And then, you know, just round numbers. Jet Forward contribution was about $300 million last year. But total EBIT went down about $250 million year on year. So that implies simplistically that your core was down $550 million. Now last year was obviously, you know, a tumultuous one for JetBlue and the industry. Do you attribute that entire $550 million entirely to the macro? As opposed to any, you know, idiosyncratic challenges your franchise was facing?
Ursula Hurley: Yep. Yep, Jamie. So I'll take that. Yeah. We attribute it entirely to the macro. And as we've looked back at 2025, we've been able to isolate out the Jet Forward initiatives and the value that they've driven. And if not for the macro, we're quite confident we would have hit our full-year operating margin guide. So we're actually very excited about '26. This is gonna be our year. If you think about the initiatives that we continue to execute in 2025, whether it was operational performance and improved NPS, our premium loyalty benefits like the JFK Lounge, you know, Even More changes, the Blue Sky partnership, and our network changes. These are all initiatives that are built to ramp over time. And as Marty mentioned, you know, these initiatives create a flywheel effect where operational reliability and NPS will enable premium growth, which will then strengthen loyalty and revenue. And then you layer in network optimization, amplifying that impact. So, you know, we really are excited that this really sets us up for continued acceleration and up in '26 as we then add things like the lounge, domestic first, and the full implementation of Blue Sky. So you know, that's behind, you know, our guide for this year. You know, last year was definitely a step back for JetBlue, but also the industry as a whole. And this team continued to execute, and we look forward to taking advantage of all that execution and more in '26.
Jamie Baker: Okay. Thank you very much. We appreciate it. Take care.
Operator: Your next question comes from the line of Conor Cunningham with Melius Research. Please go ahead.
Conor Cunningham: Hi, everyone. Thank you. More rumors than aircraft, I'm gonna potentially steal that one. The bridge in the deck was interesting to me. I just, the 50 basis point macro or industry setup, I think, that you have there is, I think it feels really conservative. If you could just frame up what you assume there. Like, are you assuming that there's some sort of competitive fallout from the Chicago situation? Just any thought process on how you got there. Thank you.
Ursula Hurley: No. Yeah. So, I mean, the half a point of base RASM growth is tied to the demand trends we're seeing exiting Q4 into Q1 and beyond, and then obviously, normal GDP and macro inputs. And so to the extent that there's upside, the upside would come in macro, the upside in terms of the, you know, incremental three points of RASM growth for Jet Forward, you know, it could come in things like improvements in Fort Lauderdale beyond what we've assumed, premium ramping faster, you know, sort of the flywheel effect really kicking in. So, you know, I think as you look at the guide, we guide what we see. And we do not assume any kind of snapback on macro.
Martin St. George: I just want to add one thing, Conor. And it's something that I think as Jet Forward has progressed, we started to feel the tension between the base airline and the Jet Forward numbers because honestly, it's kind of the same thing to a certain extent. There's a lot of interaction between those two numbers. You know, when we laid out the $900 million proposal for Jet Forward, a lot of those things at other airlines would be normal course of business. So when you say, like, this is what the base airline's doing versus what Jet Forward is doing, it's getting to the point where you almost can't make those distinctions because there's so much relation between the two of them. We're very, very proud of all the initiatives, and it was a lot of change in a year. But I think that it's tougher and tougher to measure it, I think, as we go forward because the individual Jet Forward initiatives, you know, other airlines are doing them when that's in their base. So it's just a little bit tough to do that apples and apples comparison, doing RASM. Asset Jet Forward, and their RASM without any sort of branded program. But, you know, to be clear, if you think there's upside in macro, that's upside to the JetBlue plan.
Conor Cunningham: Got it. Okay. Helpful. And I realize that you're not guiding including the impact of Fern, but I mean, the feedback I've gotten this morning is that it kind of derails your 1Q already. So just any thoughts, like, are the ranges wide enough to assume that you can weather, like, I mean, you canceled 1,200 flights. So just trying to understand the risk to the January outlook already given the weather events that's already happened? Thank you.
Ursula Hurley: Yeah. Sure. I mean, we canceled just over 1,100 flights. We didn't cancel, you know, some of the numbers that other carriers are posting. So I think that's an important distinction, and the impact will be proportional to those cancels. So we'll definitely see some pressure on CASM. We'll see some pressure on ASMs. But this hit us, I want to be clear, during a trough. When you think about the time, it could not have come. We never ask for these things. We never want these things, but it could not have come at a better time. And so really proud that the team is executing and getting us back on track. If you see the cancellations today, you know, the number is much, much, much lower. Others still have, you know, the impact lingering. And I'm confident that as we move through the week, we'll be back up and running fully.
Martin St. George: I would just add, Conor, like, this is, we're still gonna hit our full-year guide. I mean, this is something that obviously can be weathered within the full-year context.
Conor Cunningham: Okay. Thank you very much.
Operator: Your next question comes from the line of Ravi Shanker with Morgan Stanley. Please go ahead.
Ravi Shanker: Great. Thanks. Good morning, everyone. Apologies if I missed this. You guys did quantify the impact of The Caribbean shutdown of airspace in January. But some of your peers have noted that the kind of warnings or the restrictions, kind of on flight activity issued a couple of weekends ago, that's had somewhat of a chilling impact on bookings and the forward curve in The Caribbean. Are you guys seeing any of that as well for the forward view?
Martin St. George: Hey, Ravi. Good question. Thank you. We certainly saw an impact for a couple of weeks. And there's no question that it was a tough time. It was a peak day when we had the disruption. You know, it's New Year's return. So it was an incredibly poorly timed event for us. But, and we did see a couple of weeks of booking depression, but nowhere near what we heard other airlines say. I will say that our Caribbean is actually very, very diversified. You know, you think about the size of operations in the Dominican Republic, Puerto Rico, we have a lot of markets that were not affected. Yes. We certainly saw an impact in places like Aruba, Curacao for a couple of weeks, but those have both rebounded, and we're back to normal course of business. There is a, I keep using this word divot. I'm not sure that's the right word. We still have a bit of an impact in the first quarter, but forward-looking bookings, that'll be fine. We're actually not worried about it at all.
Ravi Shanker: Understood. And maybe just on the lounges, can you just share early feedback on the JFK lounge so far? Are you seeing any kind of loyalty or any measurable impact from opening that? And also, you said that you're looking at the potential for Fort Lauderdale. Is that just like a one-off given your strength there, or do you think that there's an opportunity for having, like, a network of domestic lounges over time?
Ursula Hurley: Yeah. So, Ravi, we're not, we've been going on a network of lounges, but we're not there. I mean, JFK has been great, as Marty mentioned in his prepared remarks. You know, 80 plus percent NPS. We're seeing it absolutely drives sign-up for the premium card. We're excited to bring Boston online later next year. You know, as we think about Fort Lauderdale, we think it's got a great premium base that could lend itself to a lounge. We haven't announced anything yet. But we're really focused on, you know, if it makes sense for a particular market, we will evaluate it. It has to have a strong return and it has to be tied to driving our Jet Forward initiatives around the premium customer.
Martin St. George: Yeah. Just to be clear, Ravi, the Boston lounge is this year. Yeah. Sorry. I would say, like, yeah, later this year. The number one thing we're worried about, sorry, my bad. Later. I will say one thing. As we mentioned when we announced that is we have to give the customer feedback of their hatred of lines. We do have a picture floating around of the first line outside the lounge. And it was a line of people who were signing up for instant approval of Premier cards. They wanted to get in. So it's doing exactly what we want to do, and we're really, really bullish about it. That being the case, it's a big CapEx investment. You know, we work with Barclays obviously to make sure the math works for something like this, but I think the, you know, given how our network works, which is, you know, we have a handful of cities above 30 something flights a day, this is not something we're expecting to have in 20 cities.
Ravi Shanker: Understood. Good to hear. Thank you.
Operator: Your next question comes from the line of Scott Group with Wolfe Research. Please go ahead.
Scott Group: Hey. Thanks. Good morning. Marty, your answer on Jet Forward versus core earnings a couple of questions ago is totally fair. But so you might not like the spirit of the question, but I do have a follow-up. So if I just take the guidance for this year, you're saying the bridge has $310 million of Jet Forward benefits. And I think if we're doing, like, I think that implies, like, flat core earnings. So I guess my question is, like, if base RASM's up half a point and CASM's up two, what are the offsets there that keep core earnings more flat? And what are the upside and downside risks to core earnings being flat?
Martin St. George: Okay. I'm writing this down. I need to go through that math and try it. I wish to get back to it, I want to make sure I understand the exact question. I mean, at the core, overall industry RASM is on a very good trend right now, and that's driving a big chunk of the 2026 guide that we laid out there. And, again, back in this issue of what's core for us and what's core for the competitors, there's a lot of stuff that's in Jet Forward that will be core for our competitors. So it is very difficult to do an apples-to-apples comparison. When you look at what other airlines are doing with things like, you know, how they price their extra legroom seats or how they price things like, you know, their domestic long-haul premium products. So I think that it's actually much, much tougher than you think to actually split those two things apart. I'm really focused on the top-level guide, which is the high-level guide for RASM this year. And remember, it's, you know, two to five is our range. And that's on two and a half to four and a half in ASM growth. So I think if you look at the combination of those two things, you know, we're really excited about this guide. I think it's the ability to produce that level of RASM growth with this amount of ASM, I think it's testimony to the strength of the franchise and of the positive output we're seeing from all the changes we've made in Jet Forward.
Scott Group: Okay. That's, I think that's fair. So your point is don't get too caught up in the individual bridge. Like, look at the whole level. Look at the big picture. ASM up. RASM up, it's working. Kind of thing.
Martin St. George: Yeah. Yeah. Yeah. I mean, listen, Scott. At the highest level, right, we're projected to grow our op margin by over four points. Right? Like, the majority of that is driven by Jet Forward. We are, as a company, growing again, which is fantastic. The AOG outlook has improved, and so when you take the powerful combination of the revenue initiatives, growth, the efficiency and execution on the controllable cost structure, I mean, we believe that this is a material step forward in terms of margin progression. And, you know, right now, what we're seeing in the demand environment is strong. The macro's, you know, constructive, so that's why we're, you know, super confident in being able to hit this and get on a path to sustained profitability. I mean, step number two is free cash flow and have a path to deliver positive free cash flow at the end of '27. And we'll turn to improving the health of the balance sheet. So we feel good about 2026 and our ability to execute. We're in execution mode.
Scott Group: Thank you, guys. Appreciate the time.
Operator: Your next question comes from the line of Chris Strapolovikis with SIG. Please go ahead.
Chris Strapolovikis: Morning. Thanks for taking my questions. Ursula, if for whatever reason, there's a macro downtick, seasonal or unanticipated seat growth in New York or other markets, what are some of the levers you can pull to still get to the breakeven mark? You know, I realize that there's some or perhaps a lot of leverage here in the fleet, and areas like maintenance and fuel efficiency, but what are some of the other, I guess, cost buckets we should consider should a macro or seat growth move in an unanticipated direction? Thanks.
Ursula Hurley: I'll take that. I mean, I think if you look back at 2025 and what we did in '25 when we did see that macro step back, I mean, first, we matched supply with demand in the trough period. We pulled two points of capacity, I mean, after it, and we still hit our annual cost guidance, which I think is a true testament to the team. And then we ultimately made some really hard decisions around discretionary expenses, leadership structure, and other budget cuts. So if you think about 2026, if there were a macro setback, we're gonna focus on controlling what we can. We're gonna continue to execute on Jet Forward, and then we will pull some of those levers if need be. As we move forward. Obviously, you know, capital expenditures, we would relook at that list. So this team is one that has a track record of hitting the cost targets because that is something that we control more so than obviously revenue. And so you'll continue to see us lean into that. A macro setback as we did in 2025.
Chris Strapolovikis: Okay. And then on free cash flow, I think I heard you're targeting positive year-end '27. If you could maybe size that, so assuming you hit all your targets in Jet Forward, you move within the CapEx profile you outlined earlier. What exactly does that positive look like? Thank you.
Ursula Hurley: Maybe I'll take that. We're not going out with any guide or specific numbers. But if you think as earnings grow and CapEx moderates, this is going to enable a path for JetBlue to deliver positive free cash flow and ultimately delever the balance sheet over the next couple of years. So first, we need to deliver positive operating margin in 2026. We've got a great plan to do that. That plan takes advantage of everything we built this year and then all the additional initiatives that are layering on in '26. And then that should hopefully, as we think about exiting '26, allow us to generate free cash flow by 2027 and then ultimately beyond that, restoring our balance sheet health in 2028 and beyond.
Chris Strapolovikis: Okay. Thank you.
Operator: Your next question comes from the line of Brandon Oglenski with Barclays. Please go ahead.
Brandon Oglenski: Hey, good morning. Thanks for taking the question. Joanna, maybe to follow-up on that, I mean, I know it's been a difficult couple of years here. I've been targeting breakeven for a while and there's been some macro setbacks for sure. But how do you think about longer-term profitability at JetBlue once you get to free cash flow and things like that and delevering? Can you get back to, you know, ROIC in excess of your cost of capital? Or do you see fundamentally there's issues of scale here that, you know, a lot of airline CEOs will talk about just given how important rewards programs have become?
Joanna Geraghty: Yeah. No. We absolutely see a path back. This is all about improving our operating margin. When you think about scale, I mean, there's two ways to look at it. One is scale within the market that you're in. And we continue as we're growing this year again in Fort Lauderdale, but we continue to focus on trying to ensure that we have strong franchises in our core geographies. And then the Blue Sky partner is really designed to provide scale to our loyalty program and scale beyond JetBlue for our customers. And so, you know, that's our approach. And I think, you know, we look at the initiatives we're delivering, the fact that customers are coming back to us because we've improved operational performance in NPS. We've got a whole series of initiatives we executed last year that are fully in ramp this year and then layering on our first-class product, bringing Blue Sky further to life, and then, obviously, domestic first. So we're really bullish about the next few years who will absolutely get us back on a path and delivering, you know, more than positive free cash flow restoring the balance sheet in the longer term. And taking it one year at a time, the last year was a pretty big challenge for the industry, and so we're being cautious about how we step into this year with a guide that we think is very achievable given the initiatives we have laid out for the plan, and looking forward to hitting that breakeven number this year.
Brandon Oglenski: And I know it's been a long call, but, Ursula, you brought up AOG and the GTF issues, which I think is impacting you less now. Can you talk through the financial impact there in '26 and maybe any recourse you're getting from Pratt?
Ursula Hurley: Sure. Yeah. So we're pleased that the AOG situation has improved year over year. So we had nine aircraft on the ground last year, and we're expecting mid-single digits this year. It did take over the last few weeks a slight step backward. We thought we would be in low single-digit land in terms of aircraft on the ground this year. We got a recent update from Pratt & Whitney, they continue to struggle on the A321 fleet type with supply chain and shop capacity. So we're now getting through it. It clearly continues to be a dynamic environment for the A320 fleet type. We are still working through with Pratt & Whitney the compensation. We're focused on getting what we believe we deserve. Given we're such a large customer of Pratt, there could be many forms in which compensation comes through. And in light of, you know, accounting treatment, while the settlement is important to us, you know, the amount is not meaningful to whether or not we achieve our full-year guidance for 2026. But in the end, you know, improvement year over year, allowing us to grow again, we're pleased.
Brandon Oglenski: Thank you.
Operator: And that concludes our question and answer session. I will now turn it over to Joanna Geraghty for closing remarks.
Joanna Geraghty: Great. Thanks so much. I appreciate all the questions. As you can tell, this group is very excited to deliver on breakeven or better operating margin this year, underpinned by what we see as a strengthening macro backdrop, returning to growth. I have to emphasize that, very excited about that. Constructive capacity backdrop and then all of the Forward initiatives really coming into a really nice place for 2026 and beyond. So thanks for the call today, and then I'll just end with, congrats to the New England Patriots as the official airline sponsor of the Pats. This is your year too. Thanks.
Operator: Ladies and gentlemen, this does conclude today's call. Thank you all for joining, and you may now disconnect.